Operator: Good day, and welcome to the Synaptics Fourth Quarter and Fiscal 2017 Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Alex Wellins from The Blueshirt Group. Please go ahead.
Alexander Wellins - The Blueshirt Group LLC: Good afternoon, and thank you for joining us today on Synaptics fourth quarter and fiscal 2017 conference call. This call is also being broadcast live over the web, and can be accessed from the Investor Relations section of the company's website at synaptics.com. With me on today's call are, Rick Bergman, President and CEO; and Wajid Ali, company's Chief Financial Officer. In addition to the company's GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes share-based compensation, acquisition-related costs and certain other non-cash or recurring or non-recurring items. Please refer to the press release issued after the market closed today for a detailed reconciliation of GAAP and non-GAAP results. Additionally, we'd like to remind you that during the course of this conference call, Synaptics will make forward-looking statements. Forward-looking statements give our current expectations and projections related to our financial condition, results of operations, plans, objectives, future performance and business. Although Synaptics believes our estimates and assumptions to be reasonable, they are subject to a number of risks and uncertainties beyond our control, and may prove to be inaccurate. Synaptics cautions that actual results may differ materially from any future performance suggested in the company's forward-looking statements. We refer you to the company's current and periodic reports filed with the SEC, including the Synaptics' Form 10-K for the fiscal year ended June 25, 2016, for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statements. Synaptics expressly disclaims any obligation to update this forward-looking information. I'll now turn the call over to Rick Bergman. Rick?
Richard A. Bergman - Synaptics, Inc.: Thanks, Alex, and I'd like to welcome everyone to today's call. Last week we made a significant announcement with the close of the Conexant acquisition, adding a rapidly expanding voice modality to a human interface portfolio. This marks a significant era for Synaptics, as we broaden our reach beyond the touch and display realm that we've been serving for the past three decades. We're entering not only a whole new growth market for Synaptics and consumer IoT, but also leveraging an entirely new technology. And we're incredibly excited by the additional opportunities this opens up for the company, as we continue to diversify our portfolio. I'll add that we're also on track to close our acquisition of Marvell's multimedia solutions business later this quarter. With that said, let me review our fiscal 2017 results. Our performance came in as we had anticipated at the start of the year with revenue of $1.7 billion, up 3% despite the steep drop-off in our discrete display driver business, which negatively offset strong growth from our fingerprint and TDDI solutions. Non-GAAP net income for the year was roughly $174 million or $4.88 per diluted share. Including our stock repurchase, executed concurrent with our issuance of convertible notes, we delivered on our continued commitment to generating shareholder value by repurchasing $182 million or 3.3 million shares over the past 12 months. In addition, we are pleased that the board has recently authorized another $150 million increase in our stock repurchase program. As we closed out the fiscal year, it's a good opportunity to revisit current trends surrounding our core pillars of growth and how we've taken aggressive steps to diversify our business and reduce dependency on our mobile cycle that is simultaneously flattening and remaining unpredictable. Let's review our current market starting with TDDI. Synaptics pioneered the move towards display integration with our TDDI products. And this market continues to grow as penetration among LCD manufacturers increases. We expect a substantial increase in our TDDI volumes in fiscal 2018, and have enjoyed a commanding share as the first player in this market. We expect our share to moderate over time, as display manufacturers brings up multiple providers. However, we intend to remain the market share leader in this important area. Regarding fingerprint, in fiscal 2018 we expect growth will hinge primary on the uptake of optical technology along with continued penetration of fingerprint solutions within the PC market. We continue to make headway in our rollout of optical fingerprint solutions, as I'll discuss later on the call. Turning to our discrete display driver business. We faced significant headwinds over the – much of the past year due to the realignment of major customers' demand levels. In the current fiscal year, we anticipate a further significant downdraft due to the migration and timing of the high-end smartphone market towards OLED displays. Synaptics has been preparing for the coming OLED transition for the past few years. We've made significant investments in OLED technology and believe that we are well positioned to win as the market approaches a tipping point, at which a transition to OLED in the broader market is real. While we are well positioned in each of these markets, we expect that challenges will remain in our core mobile business that will temper our growth in fiscal 2018, until these newer technologies begin to take hold. As we transform into a leading consumer IoT company, we are fully committed to diversifying our revenue and customer base to position Synaptics for long-term growth. While we are in the early stages of this transition, it's strategically very important as we pave the way for meaningful growth beyond our traditional mobile and PC markets, where industry growth rates have come down. Together, we expect the new acquisitions to significantly broaden our reach with new Tier 1 customers, dramatically expand our addressable market, and bring new sales channels and immediately position Synaptics as a leader in the rapidly-growing consumer IoT sector through an expanded portfolio of human interface technologies. Synaptics will now be a major player in the smart home ecosystem, where voice and video are expected to play essential roles. It's exciting to note that we have over 40 OEM engagements with our newly acquired far-field voice solutions (06:29) market continues to heat up. Automotive is another key element in our transition to a broader, more diverse human interface company. Synaptics is well primed for a significant opportunity in auto based on a pipeline of numerous design wins with Tier 1 partners. As we begin to drive meaningful revenue within a few years, we expect to benefit from a more predictable business cycle as well as additional support at the gross margin level. With that, I'll now turn it over to Wajid, and then I'll finish up with a deeper dive into our Q4 progress and details on Conexant.
Wajid Ali - Synaptics, Inc.: Thanks, Rick. We are pleased to have achieved record revenue in fiscal 2017 of $1.72 billion, an increase of 3% over last fiscal year. Revenue for the June quarter was approximately $426 million, slightly above our revised fourth quarter guidance and up almost 32% from the same quarter last year, but down 4% sequentially. During the quarter, we had four customers above 10% of revenue ranging from 10% to 26%. Revenue mix from mobile and PC products was approximately 87% and 13% respectively. Revenue from mobile products was up 29% compared with the year-ago quarter and down 6% sequentially. Revenue from PC products was up 49% year-over-year and 8% sequentially. I will now provide a high-level review of certain of our June quarter and fiscal 2017 GAAP results and will follow with the corresponding non-GAAP results. For the June quarter, our GAAP gross margin was 29.7%, which includes $11.7 million of intangible asset amortization and $500,000 of share-based compensation costs. GAAP operating expenses in the June quarter were $108.8 million, which includes share-based compensation of $15 million, acquisition-related costs of $2.4 million, consisting of intangibles amortization; and transaction-related costs of $1.3 million, consisting of legal and consulting fees. Our GAAP tax rate was 19.9% for fiscal 2017. In the June quarter, we had GAAP net income of $17.8 million or $0.51 per diluted share; and for fiscal 2017, GAAP net income was $48.8 million or $1.37 per diluted share. Now, turning to certain of our June quarter and fiscal 2017 non-GAAP results. Our June quarter non-GAAP gross margin of 32.6% was below the midpoint of our guidance range and primarily reflects overall product mix as well as a quality-related issue related to the ramp of a new product. June quarter non-GAAP operating expenses were at the lower end of our expectations at $90.1 million. We maintained our focus on closely managing OpEx throughout fiscal 2017, and plan to continue to do so in the coming fiscal year. For fiscal 2017, our non-GAAP tax rate was 13%. Non-GAAP net income for the June quarter was $41.4 million or $1.18 per diluted share, a 139% increase year-over-year as compared with $17.3 million or $0.46 per diluted share in the fourth quarter of fiscal 2016. Non-GAAP net income for fiscal 2017 was $173.9 million or $4.88 per diluted share, down 4% from $180.5 million last fiscal year. Turning to our balance sheet. We ended the quarter with $368 million of cash, an increase of $39 million from the preceding quarter. Cash flow from operations was $48 million for the quarter and $153 million for the year. During the quarter, we completed our investment in OXi Technology for $18.4 million or a 14.4% interest. Receivables at the end of June were $255 million and DSOs were 54 days, while inventories were $131 million and inventory turns were 8.8. Capital expenditures for the year were $32 million and depreciation was $34 million. As a reminder, at the beginning of fiscal 2018, we used a portion of the proceeds from our recently issued convertible notes to retire our outstanding bank debt, to repurchase shares of our common stock and in late July to help fund the purchase of Conexant. Now, I will make a few comments regarding our quarterly outlook which, unless otherwise indicated, includes the impact of our recently closed Conexant acquisition, but excludes the impact of our pending acquisition of the Marvell multimedia solutions business unit. Based on our backlog of approximately $222 million entering the September quarter, subsequent bookings, customer forecasts, product sell-in and sell-through timing patterns as well as product mix, we anticipate revenue for the September quarter to be in the range of $380 million to $420 million. Within this range, the contribution from Conexant is expected to be between $20 million and $25 million. Excluding the impact of this acquisition, we expect the revenue mix from mobile and PC products to be 84% and 16% respectively. This guidance primarily reflects a sequential decline in our mobile business due to a decline in DDIC shipments. To a lesser extent, it reflects softness in our capacity fingerprint business at a particular customer as well as amidst continued weakness in the China mobile market, which is also impacting our broader discrete touch business. I will now provide GAAP outlook data for our September quarter and will follow with non-GAAP outlook data. We anticipate the stock-based compensation charge in the first quarter to be in the range of $16 million to $16.5 million. In addition, September quarter GAAP expenses including the impact of our acquisition of Conexant which includes non-cash charges of approximately $14 million related to intangibles amortization, of which approximately $12 million will be reflected in cost of sales. Finally, we expect our GAAP tax rate for fiscal 2018 to be in the range of 20% to 25%. I will now provide non-GAAP outlook data for our September quarter. Taking into account our overall revenue mix, we expect non-GAAP gross margin in the September quarter to be between 34% and 36%, which reflects the benefit of higher margins on the Conexant products and overall product mix. We expect non-GAAP operating expenses in the September quarter to increase from approximately $98 million to $102 million, reflecting a 14-week quarter and a partial quarter of increased operating expenses associated with Conexant. We anticipate our non-GAAP long-term cash base tax rate for fiscal 2018 to be in the range of 12% to 14%. Non-GAAP net income per diluted share for the September quarter is anticipated to be in the range of $0.85 to $1.15 per share. Now turning to our outlook for fiscal year 2018. Based on the trends Rick outlined earlier, we anticipate low single-digit top line growth for the fiscal year. This contemplates growth in our mobile fingerprint business with the introduction of optical products, the expansion of our PC business driven by fingerprint adoption, continued growth in TDDI, and the addition of our two new consumer IoT businesses. These positive trends are expected to be largely offset, however, by a dramatic decline in our DDIC business over the course of the year based on both the OLED transition and continued shifts from discrete display drivers in the LCD market to TDDI. We expect growth to be weighted towards the second half of the fiscal year, coinciding with the ramp of our optical fingerprint and next-generation TDDI products, along with growth from both of our IoT businesses. Lastly, we expect that once we consolidate and complete the integration of both of the new consumer IoT businesses, operating profit for the consolidated company will range between 10% and 12% for the fiscal year. With that, I'll turn it back over to Rick, for a review of the recent progress across our product platform.
Richard A. Bergman - Synaptics, Inc.: Thanks, Wajid. Now, let's drill down into some of the specifics around Q4, starting with our biometrics business. We've secured two new design wins with Tier 1 smartphone OEMs for our recently announced capacitive fingerprint sensors, which will be in mass production this quarter. The FS4600 family supports square, round, pill-shaped and slim rectangular buttons for the front, back or side of the devices. OEMs can choose coatings including polymer, ceramics or glass. Additional value-added features include support for two 0D soft buttons, force sensing and fast swipe navigation. Many of you saw our optical fingerprint solutions demonstrated back in December, and now we are pleased to report that at least a half dozen customers are sampling today, including key display manufacturers. Optical technology removes the limits of cover glass thickness and enables OEMs to launch fingerprint authentication within the display area of the device. At this point, we've passed major qualification milestones. And while the product launch timing is always subject to change, per our prior goal we are currently on track to reach mass production with the top tier Chinese customer by the end of the calendar year. We believe broad adoption of optical fingerprint sensors will tie to the ramp of OLED panel production increases over the next few years. Our smart display business continues to see market success and significant market traction with our TouchView TDDI product line and we are executing on key development milestones for OLED. As mentioned last quarter, we successfully sampled and completed light-on of our fast OLED DDIC at several OLED panel manufacturers. And one of our OLED panel partners not only brought up their panel, but also successfully showcased their flexible OLED panels utilizing our R66452 OLED DDIC during SID Display Week. We continued to expand the number of OLED panel manufacturers that are sampling our OLED DDIC and are on track with the development of our next DDIC devices in our OLED portfolio. Lots of exciting innovation is happening in the smartphone world with emerging and button-free Infinity displays and XL or extra long display that support full display smartphones. Synaptics is executing through these new challenges with new TDDI solutions and is well-positioned for these emerging Infinity and XL displays. Synaptics pioneered TDDI technology and had shift over 100 million units. Today, the world's top brands are now shipping many smartphone models that incorporate Synaptics TouchView TDDI solutions including Gionee, Huawei, LeEco, LG, Oppo, Samsung, Sony and Xiaomi. Let's move to our notebook PC business. The level of security required for notebook PCs is far more demanding than you see in a typical mobile phone because of the PCs open architecture. Critical to this is the need for end-to-end encryption of fingerprint templates and machine learning lightness detection. This is especially crucial to the enterprise environment, where hundreds to many thousands employee PCs are potential threats to business systems and data. Synaptics believe it delivers the industry's most secure solutions on all fronts and continues to partner with key ecosystem partners such as Baidu, Microsoft and Intel to ensure biometric data and the enterprise information is protected. We are excited that the recently announced HP Envy 13 notebook PC is featuring our SecurePad solution that integrates our fingerprint sensor directly into the TouchPad. This streamlined approach eliminates additional routing and PC deck cutouts. Also new this quarter is the Acer Switch 2-in-1 laptop featuring our fingerprint embedded in the power button. New PCs with Synaptics TouchPads include the Dell Inspiron 5000 and the Inspiron 7000 series using our ClickPad solutions as well as the HP Spectre X2 also with our ClickPad. Automotive is an important diversification area and a growth lever for Synaptics leveraging our entire human interface product portfolio for next-generation vehicles. Our automotive touch controllers are either qualified or in qualification, and a majority of the major Tier 1 and display manufacturers in key geographic locations. Also, our latest automotive DDIC display drivers that successfully been brought up at five different key display manufacturers, is now being coded for multiple RFQs. We're also building on our success with TDDI in the mobile market and we'll bring this technology to the automotive market in calendar year 2018. Finally, our fingerprint sensors for interior automotive applications have generated significant interest across our global OEM and Tier 1 customer base. During the quarter, we delivered automotive quality fingerprint sensors to a key Tier 1 for what's expected to be the world's first automotive fingerprint integration for a premier OEM. Let's turn to Conexant. Now that this business is under the Synaptics umbrella and we've had a chance to dive in with the customers and teams, we're even more excited about this acquisition as it's clear we have acquired a true technology leader. Voice is one of the fastest-growing human interface modalities and Synaptics is now poised to capitalize on significant growth opportunities in this area. We have very high activity levels and new collaboration announcements with some of the premier companies in the world including Baidu, Harman and Amazon. With Baidu, we partner to release development kits and reference designs to enable device makers to develop far-field voice-enabled artificial intelligence products that run on Baidu's Duer OS platform such as mobile phones, TVs, smart speakers and other devices. Enabling speech recognition and voice control from a distance requires overcoming substantial acoustic challenges related to echo cancellation, background noise, position of microphones and speaker placement. The core component in the announced Baidu development kit is our audio smart voice input processor for two- and four-mic applications, running our industry-leading far-field voice pre-processing software technology. We announced a collaboration with Harman International to co-develop embedded far-field voice solutions for the Harman brands. Our far-field voice input processing technologies and system expertise, combined with Harman's high-performance audio solutions, provide a superior user experience for voice-enabled smart home, automotive and also enterprise applications. With Amazon, we announced an industry-first four microphone version of our popular audio smart development kit designed specifically for Alexa Voice Services. Our new four-mic development kit is designed to help manufacturers and developers quickly and easily build smart home device prototypes that offer an ideal voice user experience, while significantly cutting engineering requirements and time-to-market. The audio smart four-mic development kit for Amazon ADS which is preloaded with Alexa wake word features our voice input processor with embedded far-field voice processing technology and our Smart Source Locator that detects the direction of a voice. Optimal audio quality is achieved for music and Alexa voice prompts by leveraging our unique audio playback codec, which also powers the speakers. Looking forward, numerous voice solutions for the smart home are expected to launch in the second half of 2017, including our audio smart powered smart speakers, smart lighting and smart thermostats. In addition to our far-field technology, we have new digital headset design wins using our personal voice solutions with two Tier 1 smartphone OEMs that are leading in the transition from analog to digital and by leveraging USB-C interface over legacy 3.5 millimeter audio jacks. Finally, our new imaging smart business recently rolled out new photo printer and camera solutions that are now in full production. These silicon and software solutions that leverage our core image processing and digital imaging expertise are an excellent asset to our portfolio. While I'm not able to provide specific progress in Marvell's multimedia solutions business until the deal is closed, we see a meaningful opportunity to diversify our business and customer set within the set-top box ecosystem, where a lot of media communications occur in the home, while also leveraging their video processing solutions. As I conveyed earlier, we are executing well to prepare to fully capitalize on the opportunities in front of us and have quite a lot to be excited about. We expect the two acquisitions to help ease the transition within our core mobile business near term and to emerge as meaningful growth drivers as we look out over the next few years. In addition, they'll contribute towards the transformation of Synaptics into a broad human interface company, spanning the burgeoning consumer IoT market with a much more diversified product set and customer base. We plan to host another Analyst and Investor Day in December, where we'll provide further updates on our business model, color on out new markets and technology demos showcasing our latest product, including voice. Lastly, as we close out the year, I'd like to thank our employees around the world for their unwavering dedication and support. With that, we will now turn the call over to the operator to start the Q&A session. Operator?
Operator: Thank you And we'll take our first question from Rob Stone with Cowen & Company.
Robert W. Stone - Cowen and Co. LLC: Hi, guys. First one is just a recap. Wajid, the phone line cut out just a bit on – at least on my end, when you were providing guidance for how much Conexant was going to contribute in the September quarter?
Wajid Ali - Synaptics, Inc.: It's $20 million to $25 million, Rob.
Robert W. Stone - Cowen and Co. LLC: Okay. For the year, including both acquisitions, I guess, can you give us any more detailed guidance on how much you expect the acquisitions to contribute on the year?
Wajid Ali - Synaptics, Inc.: Yeah. So when we had done our first call on the acquisitions, when we had signed both deals, we had said that we expected the revenue on an annualized basis for both the acquisitions to be between $200 million and $250 million for the year. Right now, it's looking like it's going to probably be at midpoint or maybe even a little bit better than that on an annualized basis. So you've got to adjust for the fact that we'll have Conexant for 11 months of the year approximately; and Marvell, we should close sometime in September. So adjusting for those two things, we're still thinking the same way we did back in late June when we first talked about the two acquisitions.
Robert W. Stone - Cowen and Co. LLC: Okay. And finally one for Rick. With respect to optical, so it sounds like you're looking forward to at least one product launching this year. As you guide into sampling, have things gone as planned, have you encountered some additional hurdles? Or what's affecting the time for additional designs to get to market?
Richard A. Bergman - Synaptics, Inc.: Hey, Rob. Thanks a lot. In some ways, I'll say, well, in December we said we'd be in mass production by the end of calendar 2018, and that's kind of just what I repeated in the script. So call it, from that metric, we are achieving the schedule that we put out there and challenged our teams to. That being said, we're developing a brand new technology. I think that's ahead of the entire industry. And we've run into a number of different things that we had to plough through the first half of the calendar year. I think, as I've mentioned, it's really easy to do a fingerprint demo. In fact, today you can take out your smartphone and take a picture of your finger and say, hey, that's a fingerprint demo. But it's much more complicated than that. There is sunlight effects, there is temperature effects, there is reflections and optical properties. So it's been quite a learning experience, because we did this for the most part organically here at Synaptics. So, I'm actually really proud of what our development team has gotten through, especially over the last two months we've been through a grind, as I mentioned earlier, with a top tier OEM. And we managed to clear the hurdles here in the last few weeks where they've said, okay, we're going with you and there is a project name and so on. And the combined teams are working together like crazy, because they are extremely interested to have this breakthrough technology in their phone. So, bit of a long-winded answer there. So in some ways it's going to plan, but it's a discovery process, but we feel really good about where we are right now with – in terms of that NPD.
Robert W. Stone - Cowen and Co. LLC: That detail (29:28)
Richard A. Bergman - Synaptics, Inc.: Looks like he cut out again.
Robert W. Stone - Cowen and Co. LLC: I'll jump back in the queue. Thanks.
Richard A. Bergman - Synaptics, Inc.: Okay.
Operator: And we'll take our next question from John Vinh with KeyBanc Capital Markets.
John Vinh - KeyBanc Capital Markets, Inc.: Hi. Thanks for taking my question. First question I had is on the September guidance. I'm struggling a little bit with your expectations that mobile will be down in September. If you look at your peers, it seems like China market is starting to bottom and seeing maybe a modest uptick in the September quarter, and then you've got a pretty significant flagship brand that starts in the September quarter as well. Wondering if you could just reconcile your expectations for mobile will be down. I also noticed that you talked about softness in fingerprint at one of your customers. I was wondering if you could clarify. Is that a demand issue or is that a market share shift issue?
Richard A. Bergman - Synaptics, Inc.: Okay. Thanks, John. This is Rick, again. Let me take the easier or most straightforward answer which is the latter part of your question, then I'll get to the broader mobile question. On fingerprint, no, there is nothing to do with share there. We're just seeing lower demand and that kind of is what happens unfortunately with the customer base we serve. They have their ups and downs as well and they move timings in and out, and we try to balance that as much as we can. Unfortunately, there's only so much that we can do. Hence, why we're putting so much effort on the diversification that I talked about during my prepared remarks. On the first part of your question, there is a little bit different dynamic ongoing with us. I don't think we're alone in this particular area with the China smartphone market. It's a very profound shift to this new display type, the 18x9 or XL. And so any, call it, demand that we had for some of the products that we had that supported the older display type, 16x9 displays is – we've really seen truncate. As our phone customers are trying to move their inventory, now it's a little harder for them to move it because it has got that old look of the phone and they're rushing as quickly as they can on the 18x9. And of course we supply to display manufacturers, so we're a little deeper into the supply chain there as well.
John Vinh - KeyBanc Capital Markets, Inc.: Got it. Thank you. And then my follow up is on your fiscal 2018 guidance. If you back out the contributions from the acquisitions, obviously you're going to be declining, understanding that you have headwinds from this transition to OLED. Is that the primary headwind that you're facing in fiscal 2018? And if not, are there other kind of factors that we should consider? And then also, what are you assuming or embedding in your fiscal 2018 guidance in terms of optical fingerprint uptake there?
Richard A. Bergman - Synaptics, Inc.: So, again I'll take a shot and then if Wajid can add any additional detail. The short answer is, yes, that's a big headwind. I think yourself and others have seen that headwind coming, we've seen it. And so, we've been planning for that day as much as we can by growing our other business. The other factor that we're facing here, of course, to a certain degree some of the other discrete DDIC business that we have is coming down as well. But that's kind of a good news story, because a lot of that on the LCD side is flipping over to TDDI. So I see that more is opportunity. I'm not going to give specifics on optical other than what we said in the earlier prepared script which is, we see it as our avenue for growth in this fiscal year and there's great promise there, and we hope to capitalize on that opportunity as much as possible. Anything you want to add, Wajid?
Wajid Ali - Synaptics, Inc.: No.
John Vinh - KeyBanc Capital Markets, Inc.: Thank you.
Operator: And we'll take our next question from Charlie Anderson with Dougherty & Company.
Charlie Lowell Anderson - Dougherty & Co. LLC: My question – sorry to beat a dead horse here, but just again on fingerprint. I'm just curious on the capacitive side of the house. Are you guys expecting that to be up for the year or is that down than optical leads to the growth. Just any commentary around mix there would be helpful. And then I've got a follow up.
Richard A. Bergman - Synaptics, Inc.: No. On the capacitive side, I think it's pretty well documented that the market's gotten tough out there with – there's multiple suppliers. The attach rate is still going up which helps a bit, and we continue to be adding customers to our rosters. But the ASP decline has put pressure on the revenue side. So on the mobile side, we expect our capacitive to actually be down a bit year-over-year. On the PC side though, it's a bit of a different story. We have a pretty good position there. As I mentioned, they put a much higher premium on security as they should, given all the events that everyone's read about security issues related around various things that have occurred in the marketplace. So our growth in our PC fingerprint business is picking up very nicely year-over-year.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. And then for my follow up, I just wondered on kind of the underlying assumptions on TDDI. I think, Rick, in the past you've given sort of some forecast out there in terms of what portion of market goes to TDDI, kind of where you market share shakes out. Just maybe you could revisit some of those in the context of the guidance that you've given? Thanks.
Richard A. Bergman - Synaptics, Inc.: Sure. We expect substantial growth in TDDI, and we'll anticipate in that. Now in terms of share, as you know, from working with us for a number of years, we only like to talk about our share once a year because it's a real challenge to get our arms around where our share is. And that's during our Analyst Day that we've scheduled for December this year. Now certainly, the last number we gave was about 70% in our calendar Q1, and we've said at the time it's definitely going to come down, but we still expect to have clear leadership in that marketplace. And I don't see any reason why that would change from our January remarks – excuse me, I guess, it was our April remarks?
Charlie Lowell Anderson - Dougherty & Co. LLC: Thanks so much.
Operator: And we'll take our next question from Ambrish Srivastava with BMO.
Ting Pong Gabriel Ho - BMO Capital Markets (United States): Hi. This is Gabriel Ho calling in for Ambrish. Thanks for taking my question. Actually, I want to ask you about a longer-term question or maybe a medium-term question regarding your operating model. I think you mentioned about 10% to 12% for (36:02) once you close both acquisitions. I was wondering how does it compare to your call business, where I think you have said at the Analyst Day you have 11% to 15% in the near-term and going towards 13% to 17% in the mid-term. So how do we translate that?
Wajid Ali - Synaptics, Inc.: Yeah. So good question, Gabriel. So for the last couple of quarters, we've been hovering in the 11% to 12% margin range at an operating profit level. We've kind of bumped around in there. As we look forward, there's probably kind of two things that are changing. One is, you've probably noted in our September guidance that our gross margins are moving up into the 34% to 36% range. I think that was pretty widely anticipated, given the gross margin profile and the growth rates of our IoT business. But with those businesses and the type of growth rates we see, we are going to look at both shifting investments from our mobile product lines into consumer IoT as well as reducing some investments within the mobile business as well, so that we can kind of double down in the IoT space. And so, the combination of those two things leads us to believe that at least in fiscal year 2018, a prudent target for operating margins would be between 10% and 12%. Now we've put the 10% out there simply because of where Q1 revenues are at, and that should improve during the year as revenues start picking up and we have both of the IoT businesses within the consolidated framework of our company. I mentioned earlier on one of the questions that we're seeing growth in the IoT businesses above the midpoint of what we'd called out late in June. So if that success continues then that will help us kind of move more towards the right-hand side of the model that we've called out. So, that's kind of how we're thinking about and looking at it at least for fiscal year 2018. We're going to present an updated model at our Analyst Day, and we'll have a lot more clarity on the mix of the businesses as well as what decisions we've made around investments in IoT, and we'll give you an update then.
Ting Pong Gabriel Ho - BMO Capital Markets (United States): Okay. Thank you. And as a follow up on the TDDI side and maybe given on fingerprint. What do you see in the marketplace in terms of the ASP? Do you see a normal ASP decline that you used to see, given the market – end market environment, or are you seeing maybe a higher than normal ASP decline? And – yeah.
Richard A. Bergman - Synaptics, Inc.: So on TDDI, I would characterize it as normal ASP decline. It's a tough market, it's a relative of the display driver market. And so, we had a pretty good cadence of cost reduction products; some that are kicking in later this year. So we're prepared for battle there. On the fingerprint side, I think kind of across the board that the drop has been on the capacitive side more significant than, call it, usual in the consumer or the mobile market, where we've seen a substantial ASP decline driven by these, call them, small sensors that the market seemingly has accepted at this point. Again, we have a cost reduced roadmap in place, so we're dealing with that reality. But nevertheless, that in effect shrinks the entire market opportunity for all the players.
Ting Pong Gabriel Ho - BMO Capital Markets (United States): Thanks.
Operator: And we'll take our next question from Kevin Cassidy with Stifel.
John J. Donnelly - Stifel, Nicolaus & Co., Inc.: Hi. This is John Donnelly on for Kevin. Thanks for taking my question. For OLED, do you expect that to ramp with TDDI once the TDDI is available? Or is there likely to be a time period there with the discrete solutions before the TDDI is really adopted?
Richard A. Bergman - Synaptics, Inc.: No, there'll definitely be a time period where there's discrete solutions. Now, in some ways, that's good news for us because our touch share in OLED displays is quite high. So, that provides us an opportunity for touch controllers. And then on the discrete driver side, in the past we've mentioned, as these various display manufacturers bring up their fabs into high volume, they want as few variables as possible, and so they want to keep it – call it straightforward and simple. And so, they see that as – do it with discrete first, get that right. And then after we're in high volume, high yielding conditions, we'll flip over to TDDI-like solutions.
John J. Donnelly - Stifel, Nicolaus & Co., Inc.: Great. And then on the Conexant acquisition, could you discuss a little bit how we should be thinking of seasonality for that?
Richard A. Bergman - Synaptics, Inc.: Well, it's a consumer business. That being said, the beautiful part of it is – I shouldn't really characterize it's consumer business. It actually has a very diverse set of customers, I think that's the best way to characterize it, which I – and it's relatively good growth. So I don't think we have to worry about big seasonality patterns at least this year and in the next maybe couple of years as these various customers come off (41:20). You kind of heard me rattle off some of the areas where the Conexant solution applies, everything from PCs to printers to headsets to, of course, the smart speakers and so on. So again, I think short answer there is, no discernible seasonality pattern at this point.
John J. Donnelly - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
Operator: And we'll take our next question from Vijay Rakesh with Mizuho.
Vijay Raghavan Rakesh - Mizuho Securities USA, Inc.: Yeah. Hi. Just wondering when you look at the September quarter guide, how much of the contribution is from the IoT acquisition?
Wajid Ali - Synaptics, Inc.: Vijay, it's about $20 million to $25 million. We're only including Conexant. We're not including any contribution from Marvell yet because the timing of the close, we think it will be the month of September, but whether it will be the beginning or the end still kind of remains to be seen. So, we're excluding any acquisition impact from Marvell, but including Conexant revenues for the quarter.
Vijay Raghavan Rakesh - Mizuho Securities USA, Inc.: Got it. And the TDDI, you said you still expect 70% share, but how much is TDDI revenues in the June quarter and what's the trend into the September quarter? Is it down similar to the top line or...
Richard A. Bergman - Synaptics, Inc.: Just to clarify, I didn't say I expected 70% market share to continue. I said, I didn't expect it to continue. Given the dynamics of the customer base, they absolutely want multiple sources. And so, we've been saying I think for at least six months now that we expected our share to come down over time, because there was an unsustainably high levels as we got the rewards of being the innovator. And again, as I mentioned on our earlier call, we really have tried to avoid giving out share. It is pretty clear that we are above 70%, given that there wasn't much competition back in calendar Q1. Now, the market is getting a little more diversified. So in terms of giving you a share, it'll be at our December Analyst Day.
Vijay Raghavan Rakesh - Mizuho Securities USA, Inc.: Got it. And how much was the TDDI contribution – revenues, I guess; not share but TDDI revenues in the June quarter? And how do you see that trending into the September quarter?
Wajid Ali - Synaptics, Inc.: Yeah. So Vijay, it was about 15% of sales in fiscal Q4. TDDI wasn't immune to the slowdown in China. And so, we're continuing to see that into Q1. So it will probably be flat from a dollars perspective Q1 to Q4. Obviously, a higher percentage of revenue because overall revenues are coming down, but it wasn't immune to the slowdown in China. And so, we did see a drop off from fiscal Q3 into fiscal Q4 for TDDI.
Vijay Raghavan Rakesh - Mizuho Securities USA, Inc.: Got it. Thanks.
Operator: And we'll take our next question from Rajvindra Gill with Needham & Company.
Rajvindra S. Gill - Needham & Co. LLC: Yeah. Thanks for taking my questions. Question on the total operating expenses. So, at a $100 million excluding the Marvell business to get to kind of 11% midpoint, the OpEx is going to kind of ramp from a $100 million to about $112 million a quarter. So just wanted to get a sense of the OpEx, how it's going to trend up? And along those same lines on the gross margins, it's 35%. Are we going to be expecting kind of gross margins to be trending up throughout the year as well? Maybe clarify on that.
Wajid Ali - Synaptics, Inc.: So on the gross margins side, Rajvi, the way we're looking at it is, we think that the 34% to 36% range is reasonable for the year. We know we've got some tailwinds like you mentioned. We still got the Marvell business that's going to come on board. Rick talked about some of the ASP pressures we're seeing in capacitive. So we want to be cognizant of that. But having said all that, the range of 34% to 36% seems reasonable. Now whether the midpoint is 35% for the year or 34.5% or 35.5%, that still kind of remains to be seen for Q1. We're comfortable that it will be 35% and the tailwind seem to suggest that we should be able to see something like that in fiscal Q2 as well. But beyond that, we would probably be more comfortable at this time just saying that the range will most likely be 34% to 36% for the remainder of the year. Now on OpEx, we are going to see a bit of a trend up like you mentioned to kind of get to the midpoint of the operating profit model. How much we invest beyond just the head count and payroll for Marvell will really depend on kind of our outlook, but we'll manage the operating expenses to be able to get into that operating profit model. And like I said earlier, we'll both be shifting OpEx from shifting investments from mobile into consumer as well as reducing some investments within mobile as well. So it will be a combination of those two.
Rajvindra S. Gill - Needham & Co. LLC: And Rick, for fiscal year 2018, you talked about growth in optical, growth in PC for fingerprints, TDDI, and then obviously Marvell and Conexant offset by a dramatic decline in DDIC through the OLED. But you also mentioned cannibalization of discrete from TDDI. So how do we think about the cannibalization effect of TDDI versus discrete?
Richard A. Bergman - Synaptics, Inc.: I think you're kind of drilling down to a level of specifics on the product line. So maybe I'll step it up for a second. So where are we going to grow next year – excuse me, this fiscal 2018? Mobile fingerprint, PC fingerprint, TDDI, as well as IoT. And in some of those cases, fairly substantial growth. So kind of our really critical ongoing businesses we feel pretty good about. Where we're not going to grow is DDIC. And that's combined with one well-known transition that's moving to OLED technology, also coupled with, as I said, a bit of cannibalization as well with our classic DDIC business that we enjoyed in fiscal 2017. I don't know if I can kind of totally rack it, but it is down – our discrete DDIC business is down as well. Wajid, is there any statistics you want to throw in there?
Wajid Ali - Synaptics, Inc.: No.
Richard A. Bergman - Synaptics, Inc.: Okay.
Rajvindra S. Gill - Needham & Co. LLC: Thank you.
Operator: And we'll take our next question from Jagadish Iyer with Summit Redstone.
Jagadish K. Iyer - Summit Redstone Partners LLC: Yeah. Thanks for taking my question. Rick, you had talked about TDDI and initially targeting the low end of the market at this point of time. I just wanted to understand how much success have you had in terms of TDDI trying to penetrate on the high end, so that it can provide some uplift to your margins? And then I have a follow up.
Richard A. Bergman - Synaptics, Inc.: Okay. So, I don't know if I said initially we targeted low end. We targeted more of the mainstream now. The success we've ended up with turns out – we've got quite a bit of success in some of the low end markets. So for example, Samsung for their, call it, more mainstream or lower end product is used are 4100 product, I think quite successfully on a number of different models. What we're facing, of course, with today's TDDI product line is, it only works with LCD panels. And for the most part, the major smartphone manufacturers have now started to use OLED on their higher-end mainstream and high-end phones. So there's really not an opportunity to create the super high-end TDDI device. That being said, this 18x9 trend is not just a OLED phenomenon as well, we're seeing it with the LCD panels as well. So that's why we're rushing out solutions. And I would say, some of those are certainly in the upper end of the mainstream to mainstream. So there is opportunity as we move into the second half of the fiscal year, where you'll see some pretty interesting phones come out with our TDDI more in the premium space.
Jagadish K. Iyer - Summit Redstone Partners LLC: Fair enough. And then, I'm sorry if you have addressed this. On the DDIC, your key customer there seemed to have delayed the launch. So how should we think about your DDIC revenues at least near term over the next two to three quarters? Thank you.
Wajid Ali - Synaptics, Inc.: Well, we really can't comment about specific OEM plans, other than based on the best information that we had, we've comprehended that in our guidance for Q1 as well as the fiscal quarter. And there's just tremendous rumor and speculation out there. We had to kind of cut through and look at the forecast that they give us and have a frank discussion with them in terms of what inventory levels that we need to have ready and so on. And I think we've done a pretty good job from that. I do think there'll be continued decrease in the DDIC shipments. And of course, there is an argument given the inherent cost of OLED phones that there's certainly not a total displacement. See, I don't want to create any panic, call it, out there. We've said repeatedly, we think LCD panels have a role at all phone manufacturers at least for the next several years.
Jagadish K. Iyer - Summit Redstone Partners LLC: Fair enough. Thank you.
Operator: And there are currently no questions in the queue at this time. I'll turn it back to today's speakers for closing remarks.
Richard A. Bergman - Synaptics, Inc.: Thank you very much. As we've discussed in the past hour, Synaptics is in a very interesting time, as we are bringing on a couple of major acquisitions and adding some very critical technology, customers and markets into our portfolio. So exciting times here. And thank you, everyone. And I look forward to either updating you out on the road or next quarter. Thank you very much.
Operator: And this does conclude today's conference. Thank you for your participation. You may now disconnect.